Operator: Ladies and gentlemen, thank you for standing by. Welcome to the McGrath RentCorp Fourth Quarter 2024 Earnings Call. At this time, all conference participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] This conference call is being recorded today, Wednesday, February 19, 2025. Before we begin, note that the matters the company manager will be discussing today that are not statements of historical facts are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements relating to the company’s expectations, strategies, prospects, backlog or target. These forward-looking statements are not guarantees of future performance. They involve significant risks and uncertainties that could cause our actual results to differ materially from those projected. Important factors that could cause actual results to differ materially from the company’s expectations are disclosed under risk factors in the company’s Form 10-K and other SEC filings. Forward-looking statements are made as -- only as of the date hereof. Except as otherwise required by law, we assume no obligation to update any forward-looking statement. In addition to the press release issued today, the company also filed with the SEC the earnings release on Form 8-K and its Form 10-K for the year ended December 31, 2024. Speaking today will be Joe Hanna, Chief Executive Officer; and Keith Pratt, Chief Financial Officer. I will now turn the call over to Mr. Hanna. Please go ahead, sir.
Joe Hanna: Thank you, Jess. Good afternoon, everyone, and thank you for joining us on -- today for McGrath RentCorp’s fourth quarter 2024 earnings call. I am pleased to report on our performance over the past quarter and full year, and to provide insight into our outlook for 2025. Before we dive into the details of our results, I want to start by acknowledging that 2024 was a year with some challenges, but also one where we were able to demonstrate resilience and our commitment to long-term growth. We navigated some tough market demand conditions and the distractions of the terminated merger with WillScot. Throughout it all, we executed solidly and are well positioned for future growth and success. For the fourth quarter, total company revenues increased 10% and adjusted EBITDA increased 5% compared to a year earlier. I was pleased with this performance, which was driven by continued progress from our Modular strategic growth initiatives. Mobile Modular had a strong quarter, with rental revenues growing 8% and sales revenues growing 32%. Both our commercial business and our education rentals grew during the quarter. The commercial wins we experienced were geographically broad-based and in a wide variety of market verticals, including government and technology. Our education business benefited from modernization and growth projects and encompassed both public and private school customers. Consistent with recent ABI data and other macro indicators of construction-related demand, we continued to experience some delays and softness in the demand environment. Utilization dipped year-over-year and ended the quarter at 75.1%. Rental revenue gains from pricing optimization and growth in Mobile Modular Plus services more than offset lower units on rent for the quarter. Mobile Modular’s strong sales growth reflects further progress with our new Modular sales initiative, providing additional value to our customers and benefiting from increasing interest in new Modular units as an attractive solution for construction projects. Turning to our Portable Storage business, rental revenues declined by 15%. Less activity in commercial construction driven by high interest rates appears to be a primary factor driving our Portable Storage decrease. Weaker demand -- market demand conditions were widespread and not concentrated in any one geographic area. At TRS-RenTelco, rental revenues declined by 9% with both our general purpose and communications rental revenues impacted. This reflected the industry-wide slowdown in test and measurement equipment markets both at OEM and rental equipment providers. The rental revenues for TRS held relatively steady in the fourth quarter as they did throughout 2024, which was encouraging. Shifting now to the full year, I’m very proud of the results we delivered in 2024. Our full year 10% growth in both revenue and adjusted EBITDA reflects diligent focus on execution. The Modular business had a good year and we made solid progress with our Modular growth initiatives for additional services and new equipment sales. Our performance was driven by the strong focus, drive and care for customers and fellow team members. Our teams demonstrated their ability to adapt, execute on our strategies, and remain focused on the long-term health of the business. I would like to express my heartfelt appreciation to all of our team members for your consistent desire to provide an exceptional customer experience. Well done and thank you for all your efforts throughout 2024. Now let’s look at a year ahead. The key driver for our performance in 2025 will be the demand conditions across our business segments. We’ve seen some stabilization in certain areas, but it is early in the year and we need to see how customer activity plays out in the next few months. January quote activity was stronger across all our businesses compared to the same time last year. We are encouraged by this and hopeful that it is a positive indicator of future orders. We will be closely monitoring market trends and customer demand to ensure we are making the right decisions to meet customer needs as the year unfolds. Now let me provide a bit more detail on how we’re thinking about each of our business segments as we enter the year. We started the year at Mobile Modular with good momentum driven by the ongoing success of our initiatives, as well as favorable activity in several important market verticals. We anticipate commercial activity such as large industrial projects, data centers and government work to be positive drivers for the year. Our education business is continuing to see good funding in our markets and modernization backlogs are healthy. In California, voters passed a $10 billion bond in November for school facilities. There is already a considerable list of projects the district wants to move forward. The pricing tailwind we have seen over the last few years should continue with a sizable gap between our fleet average pricing and current new order pricing contributing to rent revenue growth as the fleet turns. We also have opportunities for additional long-term growth in several regional markets where we gained an initial foothold through our Modular acquisitions. We are investing in increased sales team coverage and will be accompanying that with prudent equipment purchases to meet order volumes. Despite softness in the broader commercial construction market, Mobile Modular has been a strong performer and we believe that our focus on our core business augmented by our initiatives will help drive continued growth. Turning to Portable Storage, we are starting 2025 with a lower rental revenue run rate than we had at the beginning of 2024. For January, we have seen quote volumes and shipments improve and returning equipment has slowed. We are hopeful that market demand stabilization may be materializing. Long-term, we believe strongly in the horsepower of this business. We will continue to invest in growing the locations we are in, entering new locations, and looking for attractive tuck-in acquisitions to augment our growth. TRS is entering 2025 with more momentum than we had at this time last year in terms of customer activity levels. We are seeing some early positive signs across both our general purpose and our wired communications equipment rentals. If overall market demand continues to pick up in 2025, we are confident that TRS will be in a good position to capitalize on that momentum. Across McGrath, we are entering 2025 confident that our strategy is sound and we are well positioned to execute. To further support our growth efforts, on January 16, we announced the promotion of Phil Hawkins to Chief Operating Officer. Phil has been a strong leader for our Modular business since 2011 and he led our TRS business prior to that. His experience makes him ideal for the role. As we grow the company, he will help us execute our strategy and ensure that we continue to hone the critical operational rigor and cultural dynamics that have enabled McGrath to deliver results and to be so well respected by our customers. I am pleased to have Phil’s partnership in this new role. Finally, before I turn the call over to Keith, I would like to highlight two important company milestones that we are very proud of. Last week, McGrath’s 40th anniversary as a NASDAQ-listed company was acknowledged on the NASDAQ Tower display in Times Square, New York. Today, we announced an increase in the company’s dividend for the 34th consecutive year. Both these items demonstrate McGrath’s impressive longevity and shareholder focus as a public company. We continue to focus on the long-term success of McGrath and remain committed to executing our strategy with discipline for the benefit of our customers, team members and shareholders. With that, I will turn the call over to Keith, who will take you through the financial details of our quarter and our outlook for the full year.
Keith Pratt: Thank you, Joe, and good afternoon, everyone. As Joe highlighted, we delivered good results in the fourth quarter, driven by the performance of our Mobile Modular business. Looking at the overall corporate results for the fourth quarter, total revenues from continuing operations increased 10% to $244 million and adjusted EBITDA increased 5% to $92 million. Reviewing Mobile Modular’s operating performance as compared to the fourth quarter of 2023, Mobile Modular had a strong quarter as we continued to make progress delivering on our Mobile Modular business growth strategy. Adjusted EBITDA increased 13% to $61 million and total revenues increased 14% to $171.8 million. There were increases across all key operational revenue streams, including 8% higher rental revenues, 5% higher rental-related services revenues and 32% higher sales revenues. The sales revenues increase was primarily due to higher new equipment sales and demonstrated continued good progress with our initiative to grow Modular sales projects. Rental margins were 65%, up from 63% a year ago, primarily because of the rental revenue growth and lower inventory center costs. Average fleet utilization was 76%, compared to 79.7% a year ago. Fourth quarter monthly revenue per unit on rent increased 11% year-over-year to $828. For new shipments over the last 12 months, the average monthly revenue per unit increased 15% to $1,220. Continued progress with Mobile Modular Plus is embedded in these data points and is an additional growth driver. For the fourth quarter, Mobile Modular Plus revenues increased to $8.4 million from $7.6 million a year earlier, and site-related services increased to $6.9 million, up from $6.2 million. Turning to the review of Portable Storage, adjusted EBITDA for Portable Storage was $9.9 million, a decrease of 22% compared to the prior year. Demand conditions during the quarter were weaker than a year ago, primarily because of lower commercial construction project activity. Rental revenues for the quarter decreased 15% to $16.7 million and rental margins were 85% compared to 87% a year ago. Average rental equipment on rent decreased 14%, while average utilization for the quarter was 61.2%, compared to 74.8% a year ago. We responded to the softer market demand conditions by reducing new equipment capital spending and carefully managing operating costs. Turning now to the review of TRS-RenTelco, adjusted EBITDA was $19.1 million, a decrease of 8% compared to last year and total revenues decreased 3% to $34 million. Rental revenues for the quarter decreased 9% as the industry experienced continued end market weakness. Average utilization for the quarter was 59.1%, compared to 58.9% a year ago, and rental margins were 40% compared to 41% a year ago. Sales revenues increased 26% to $7.3 million and gross margins were 58%, compared to 55% a year ago. To address the softer business conditions, we continued to reduce new equipment capital spending, focused on sales of used equipment, reduced fleet size and carefully managed operating costs. Total fleet value, based on original cost of equipment, was $344 million at the end of December, $13 million from the third quarter and $34 million from a year ago. The remainder of my comments will be on a total company basis from continuing operations. Fourth quarter selling and administrative expenses decreased $2.8 million to $51.7 million. Interest expense was $8.9 million, a decrease of $3.3 million, as a result of lower average interest rates and a reduction in average debt levels during the quarter, when compared to a year ago. The fourth quarter provision for income taxes was based on an effective tax rate of 25%, compared to 26.7% a year earlier. Turning to our year-to-date cash flow highlights, net cash provided by operating activities was $374 million, compared to $95 million in the prior year. The decrease was primarily attributed to the $180 million merger termination payment, which received from WillScot, net of $63 million, McGrath merger transaction costs. Rental equipment purchases were $191 million, compared to $230 million in the prior year. New equipment purchases were primarily for the Modular business, while spending at TRS and Portable Storage was reduced in response to softer demand conditions. In addition to investments in new fleet, healthy cash generation allowed us to pay $47 million in shareholder dividends. At quarter end, we had net borrowings of $590 million, and the ratio of funded debt to the last 12 months actual adjusted EBITDA was 1.68 to 1. Finally, our 2025 financial outlook. For the full year, we currently expect total revenue between $920 million and $970 million, adjusted EBITDA between $345 million and $360 million, gross rental equipment capital expenditures between $120 million and $130 million. Our current assessment of the outlook for each rental segment, given where our businesses ended 2024 and how 2025 has started, is as follows. We see good momentum at Mobile Modular, where we have multiple growth initiatives in progress and we expect this business to be the primary driver of adjusted EBITDA growth for 2025. We ended 2024 with fleet utilization at 75%, which means we enter 2025 with more fleet available to meet rental demand than a year ago. Consequently, our plans for 2025 include a shift from capital spending to operating expense as we fulfill customer orders. We expect to spend approximately $9 million to $13 million higher operating expenses in 2025, preparing available fleet to meet customer orders. This expense is an increase in our direct cost of rental operations, which reduces adjusted EBITDA. As we incur these expenses, we will have a significant offsetting reduction to our capital budget for new rental equipment purchases compared to last year. At Portable Storage, we ended with our lowest adjusted EBITDA run rate of the year. As a result, we start 2025 in a challenging position and we currently expect Portable Storage adjusted EBITDA to be lower in 2025 than 2024. At TRS, after two challenging years of softening market demand conditions, we believe we are seeing some signs of bottoming out and stabilization in the business performance, which we expect will result in 2025 adjusted EBITDA comparable to 2024. Our outlook also includes the following expectations for the company overall for the year. Rental equipment depreciation expense of $85 million to $89 million. Direct cost of rental operations of $119 million to $123 million. SG&A expense of $213 million to $217 million. And interest expense of approximately $36 million to $38 million. In summary, we remain committed to building long-term shareholder value through sound strategic focus, disciplined capital allocation and consistent execution. That concludes our prepared remarks. Jess, you may now open the lines for questions.
Operator: Thank you, sir. [Operator Instructions] We’ll go first to Scott Schneeberger with Oppenheimer.
Scott Schneeberger: Thank you very much. Good evening. I guess I’d like to start in the Modular segment on the commercial offices versus education. I think the press release mentioned, you all mentioned that both segments grew. Could you talk about that growth in the fourth quarter and for the full year on an each segment basis, education versus commercial, and then thoughts on those two? It sounds like you have a very optimistic outlook for Modular relative to the conditions for 2025, but if you could speak to each of those segments for 2025 as well? Thank you.
Keith Pratt: Sure. Scott, I’ll start. This is Keith. If you look at the rental revenue growth in the fourth quarter for Modulars, that was 8% growth. Similar to the third quarter, I’d characterize the growth as balanced across commercial and education. For the fourth quarter, commercial grew 9%. Education grew 7%. So I think on a full year basis, fairly consistent view. Both have been good contributors to the Modular growth story.
Scott Schneeberger: Keith, looking ahead, this time of year, I guess, it’s a little early yet in mid-February, but you get a taste for what the order book is for the classroom rentals. A, do you have a feel for that yet or do you need another month or two? And B, do you anticipate that mix to be balanced again next year of growth being pretty equal of these two segments?
Joe Hanna: Hey, Scott. This is Joe. Yes. I presume we believe that it will be relatively balanced. What I can say at this point is that, our -- it feels like customer activity is better than it was this time last year. And when I mean activity, I mean quote volumes are up and actually, they’re up across all the businesses. So in particular, Mobile Modular, that’s a good sign. School districts are in the process of booking orders now. Don’t know exactly how that’s going to pan out because it’s a little bit early, but the signs are good. The funding is good and so we’re positive on next year.
Scott Schneeberger: Thanks. Just a quick summary, Joe. Sounds like so. Just each of your three major segments, Modular, Portable Storage and TRS-RenTelco, just speak a little bit to up, same or down, I guess, qualifications of each one, 2025 versus 2024 as far as how you feel about the end markets? Thank you.
Joe Hanna: Sure. Well, overall, I would say, we’re positive on the business outlook for 2025. Obviously, we -- there’s a lot of unknowns in terms of how things will pan out, but I believe that less regulations, hopefully some lower interest rates, we’ll see if that happens. I think we will -- there’s potential there for it to unlock business in all of the segments that we operate in. So, I think for Modulars, we’re coming into the year with good momentum and I think that’s going to continue. As we stated with Portable Storage, we are at a lower run rate than we were at the same time last year and that’s something that we need to work out of and work through. And so, it’s going to take a little bit of time for us to do that. But overall, I think, we will pop -- even though I think business will pick up, I think it will be a challenge for us to deliver better results than we had in 2024 in that business. Then you look over at TRS, we’ve been really consistent quarter-over-quarter. It’s been relatively flat for all 2024 and we’re starting to see more momentum, better quote volumes. Billings, sorry, bookings that we’re getting on a daily basis are stronger than returns and have been consistently so well into this year so far. So, I think the businesses should do better in 2025. So, hopefully that gives you kind of a brief rundown.
Scott Schneeberger: Yeah. Thanks. I appreciate that summary. I think it’s helpful. I have one on pricing and then want to dig in a little bit on margin CapEx guidance. So, on pricing, it would be in Mobile Modular, Keith, I guess for you. Could you speak to the convergence tailwind of pricing? Just elaborate on that. It seems pretty powerful. So, I know you have some interesting margin movements we’ll talk about in a moment, but absent that, just the power on margin of this pricing convergence you have in Mobile Modular? Thank you.
Keith Pratt: Sure. And you’ll see in our investor slides that are published today, where we elaborate in a little bit more detail. But if you look at the average unit on rent, the revenue per month, we get $828. If you compare that to new shipments over the last 12 months, we’re at $1,220. So, that’s a sizable gap. It’s about 47%. Clearly, mix can play a role here, which region, what type of unit, but at a high level, it does indicate that there is a gap between average pricing on the fleet that’s installed compared with new orders that we’re shipping. That gap’s been in place now for well over a year or two. And as the fleet is rotating, you’re seeing that units on rent average revenue increase. It was up 11% for the most recent quarter compared to a year earlier and we think that’s a positive tailwind over the next several years. So, that’s in place. We’re seeing continued evidence of it. I think it speaks to good work by the business in terms of how we look for revenue opportunities, how we price very carefully and so that’s encouraging.
Scott Schneeberger: Thanks, Keith. And it’s safe to infer that it is a powerful margin driver, correct, that natural pricing list?
Keith Pratt: Yeah. I think the way to look at margin is on the revenue side, it helps. And then in any particular quarter or any particular year, you’ve then got to look at the rental cost structure. And that rental cost structure is driven by how many of the units you put on rent from existing owned inventory, where you essentially spend an operating expense to get them rental ready, as opposed to whether you’re satisfying new demand with brand new fleet that is purchased new and in any particular year, that balance can move around. Obviously, as I indicated with some of the prepared remarks on the outlook, we’ll be preparing a lot more units for rent that we already own and incurring more expenses. So, it’s sort of good news, bad news scenario. Good news is we want to be satisfying customer orders, near-term that does pressure margin a little bit if we’re spending heavily in our inventory centers. This is all something we see over the years. It’s not uncommon. It’s that interplay between OpEx and CapEx. And so, the mix shifts a little bit for 2025. That’s our current expectation.
Scott Schneeberger: Thanks. And that covers where I wanted to go next. I guess two final ones. Is there -- that sounds like that’s the big contributor to a pretty solid total company revenue guide in the low-to-mid single digits. You had a flat-ish EBITDA guide. It sounds like that represents that delta of why it’s not more and it’s somewhat of an I-class problem, but not more ambitious on the EBITDA line. Is there a rental sales mix? Do you anticipate more sales this year? Is that contributing or is it purely this OpEx-CapEx dynamic?
Keith Pratt: Yeah. I’d say there’s three things I’d look at, Scott. The first would be, as you noted, this shift in the Mobile Modular business with more operating expense to get units ready to go out on rent. And we do that every year and we’re happy to do that. It’s very good use of our cash to satisfy demand that way. And you’ll see that our guide for capital spending is done by about a third, consistent with my remarks that will satisfy more demand from fleet we already own. That’s the first thing. Second thing I would say is, again, we noted this in the prepared remarks, Portable Storage has had a tough year in 2024. It has started 2025 really at a low run rate from rental revenue point of view, EBITDA point of view. So the question is, how much can we improve from that position over the course of the year? And I think our initial view is, even if we make progress in growing the business, that’s going to be a headwind in terms of EBITDA contributions. So keep that in mind as well. That’s our view currently for what it can contribute in 2025. Less EBITDA than it contributed in 2024. And then I’d say the last comment would be, as you mentioned, what about the mix between rents and sales? If you look at the overall revenue guide, here’s how it looks today. I would characterize the growth in rental operations for the company as a whole probably in the low-to-mid single-digit range in that neighborhood. If I look at the sales portion, I would say that can be in the high single-digit up to 10%, possibly even slightly better if we have a very good sales year. But that’s how we’re looking at that. So if you look at the two revenue streams, the sales revenue stream is growing faster. It tends to have a lower EBITDA contribution than the rental side. So that’s another factor that if you look at the year as a whole, it pressurizes the EBITDA margin a bit.
Scott Schneeberger: Thanks, Keith. And that was a rank order that you just gave those three?
Keith Pratt: Not deliberately, but I would say it probably is as I reflect on it. In fact, yeah, I would say, it is -- those are the top three in order.
Scott Schneeberger: Thanks. And then last for me, yeah, that CapEx guide is significantly lower than what you’ve been running at and you’ve done a good job on this call explaining why that is. You have the breakup fee from the acquisition this past year that didn’t consummate. So you’re heading into 2025 with a very strong balance sheet, ample cash, just to increase the dividend as you guys noted for however many years in a row, it’s been 30 something. What is going to be the use of capital this year? Just how are you thinking about that? It sounds like you certainly have it to spend? Thanks.
Keith Pratt: Yeah. Well, the good news is we’re very well positioned. We’re very comfortable. Leverage is 1.68 at the end of the year. That’s a very comfortable number. We’ve got options. That’s the important thing to really stress here. Lots of options. If demand plays out better, we can always throttle up the CapEx a little bit, but that’s not how we’re starting the year. You’ve heard our views and where we’re starting the year, but that’s an option. Obviously, we’ve talked about getting the M&A pipeline active again. That has been a tool in our toolkit over the last few years, whether it’s smaller tuck-ins or other opportunities we see, we’re open to doing the right deals at the right price that we think are valuable and fit well with our strategy. So that’s another thing. We’re not going to be in a rush, but we are actively getting the pipeline moving again, looking at opportunities and that’s another avenue for deploying cash.
Scott Schneeberger: Great. Thanks. Appreciate you taking them all. Best of luck.
Keith Pratt: Thank you.
Joe Hanna: Thanks, Scott.
Operator: [Operator Instructions] We will go next to Mark Riddick with Sidoti.
Mark Riddick: Hey. Good evening.
Joe Hanna: Hi, Mark.
Keith Pratt: Hi, Mark.
Mark Riddick: So I was wondering if you could spend -- thanks for all the detail that you’ve already provided. I was wondering if you could spend a little time talking about California. You mentioned in prepared remarks around the bond in November and sort of maybe what you’re seeing there. Are you seeing anything that is particularly related to any of the weather challenges and the fires and the like? Is there anything that we should be thinking about from those situations?
Joe Hanna: Sure. Well, first of all, always good news when voters pass a bond here and so we were very happy to see the $10 billion bond for facilities that was passed in November. That’s augmented, of course, by a lot of local bonds that also passed and so there’s plenty of money that should be available for education projects in the state. So, that’s good news there. Concerning the weather and the fires, a little bit early for us to comment on what that’s going to mean for the business. We are very well positioned to help customers both in the Portable Storage part of the business and the Modular part of the business. There’s been a number of schools that have been completely destroyed and we’re just well positioned to help them if they need it. But I really don’t think, Mark, that’s going to be a huge needle mover for us. We’re happy to be there when these events occur, but -- and we’ll get some orders. I’m sure we will, but I don’t think it’ll be anything really significant that will make a huge difference in the year for us.
Mark Riddick: Okay. And then I was wondering if you could talk a little bit about the potential for the acquisition pipeline, particularly around filling in the U.S. and maybe what you’re seeing there both as far as availability and valuations, and forgive me if you touch on this already and I missed it, but I was sort of curious as to whether or not that’s loosened up at all or changed any since the election or how we should be thinking about what the pipeline might look like with the domestic expansion? Thank you.
Joe Hanna: Sure. I wouldn’t say that the opportunity count has changed. There has been consolidation, as we know, in the industry, particularly in the Modular business, but there are still folks out there that are potentially available. We’d be very interested in them. Same with the Portable Storage business. That being much more fragmented, there are more opportunities for tuck-ins, and typically those businesses end up becoming available on the market due to a life event. The owner wants to retire or cash out, monetize their investment, pass it down to -- and pass the investment funds down to other members of their families or something like that. So, those things don’t necessarily get tied to how the economy is performing. We see those opportunities when there’s a weaker economy, and we see it when there’s a stronger economy. So, we’re just out there and we’ll be looking at those carefully as the year progresses.
Mark Riddick: Great. Thank you very much.
Keith Pratt: Thank you, Mark.
Joe Hanna: Thanks, Mark.
Operator: We’ll go next to Daniel Moore with CJS Securities.
Daniel Moore: Yes. Good afternoon. Thanks for all the color and taking questions. Let me start with Mobile Modular pricing clearly a meaningful tailwind, as we’ve just talked about. I realize this is a little bit of a crystal ball, but when you look at utilization, would you expect utilization to level off and perhaps begin to grow again sometime over the course of fiscal 2025, particularly with a little bit lower capital spending or is it just too early to tell at this point?
Joe Hanna: Yeah. That would be the objective. Since we’re going to be pulling more units out of the yard, because utilization has made those units available, we hope to push that number up during the year. So, definitely an objective for us.
Keith Pratt: And probably more…
Daniel Moore: Very helpful.
Keith Pratt: … in the second half of the year, Dan. As the year progresses, we generally see the activity levels increase and so there’s more movement in the fleet. And as we explained, our goal is to satisfy more of those new shipments from the fleet we already own.
Daniel Moore: Makes sense. Perfect. In terms of the revenue growth guide, obviously, it’s a wide range, given the environment, understandable. 4% of the midpoint. I am wondering if you have any thoughts on cadence of growth overall on a year-over-year basis kind of H1 versus H2?
Keith Pratt: Yeah. I would say, typically, second half is stronger than the first half. With a little bit more sales in the Modular business of new equipment in the mix, that has the potential to have a little bit more volatility, because when projects happen, they happen. When they get completed, they get completed. So, if you look at a typical year, I would say second half is bigger than the first half, but with the overlay of some ups and downs on the sales piece as we go through the year. And we’ll be happy to comment on that as we learn more. This early in the year, it’s just really hard to tell. But by midyear, we have a pretty good sense what that cadence is looking like.
Daniel Moore: Helpful. Portable Storage. Obviously, appreciate the commentary and the math makes all the sense in the world, but it would be down a little bit year-on-year, just based on where we’re starting. When would you need to see things start to turn in order to be more confident about, say, a return to growth in 2026?
Joe Hanna: Yeah. We would need to see them start to turn now and it is. So, it just takes a little while for that to flow through the business. And starting in the quarter, in fourth quarter and into this year, we’ve definitely seen more activity and higher quote volumes than we did for the first three quarters of 2024. So, we believe that this is the momentum that we’re talking about and that momentum is good as we go into this year. And I think if it continues, which I think it will, it will help us more in the second half of the year as order flow volume and we get shipments out in the first half of the year, it should help us in the results for the second half.
Daniel Moore: Helpful. And maybe just talk a little bit more about the green shoots you’re seeing for TRS-RenTelco. What you’re hearing from your customers and when you have a better sense of maybe a sustained turn versus moderate improvement versus easier comps.
Joe Hanna: Yeah. Similar situation there. As I commented before, our rental revenues were flat for the year. And I think what’s changed now for us is, we’re seeing -- at least coming into this year, we’re seeing consistent bookings that are outpacing returns. And so, when you have that momentum in the beginning of the year, that’s a very good sign for us, excuse me. And so, that’s been a positive indicator for us. I think, in two segments of the business, general purpose and our wired communications rentals, we’re seeing strength there and particularly in R&D for general purpose. And then in the data centers for our wired communications, there’s just a lot of work going on there to put fiber optic capacity and everything in for the data centers. And we’re very well positioned to serve that market. So, those are green shoots and we’re happy to see them, and we’re going to really continue to chase after those orders.
Daniel Moore: All right. Really helpful. Last one, I’ll jump back. But we appreciate the color, OpEx versus CapEx. So, it sounds like you’re spending an incremental kind of $9 million to $13 million in OpEx to prepare the fleet. If it weren’t for that mixed change, would that be the amount that EBITDA guy would be higher? Is it kind of a one-to-one? Just kind of making sure I understand the dynamic there? Thank you again.
Keith Pratt: Yeah. I think that’s a reasonable way to look at it and as I tried to say earlier, in any particular year, we’re going to have the option of supplying new orders through inventory we own, where we spend some OpEx to get the equipment ready or we’re supplying from fleet that we’re buying new from the factory. So, if you look back, let’s say at 2023 and 2024, as utilization became higher of a Modular fleet, we were deploying more shipments from new equipment bought at the factory. That’s typical when utilization is high. And then when you’re in the other situation where utilization is a bit lower, as it currently is, we can satisfy more orders from, again, some fleet we already own, but we do incur incrementally higher costs in the inventory centers. So, I’d say that $9 million to $13 million range, the majority of that you can think of as a sort of one-for-one deduct to EBITDA. Again, we’re probably comparing two almost bookend cases. Last year was high on the capital, lower on the OpEx. This year, it’s really flipped the other way, high on the OpEx, low on the CapEx. So, you might argue a typical year might be somewhere between the two, but that’s how we’re looking at 2025.
Joe Hanna: And Dan, let just -- let…
Daniel Moore: Got it. Yeah.
Joe Hanna: Let me add really quick there. That’s consistent with our long-term view on how we run the business. More responsible, we feel, to pull units out of the yard and spend capital to get them ready than to put new capital into the business. I mean, it’s just consistent with our responsible way to run the business. And we could make EBITDA look better by buying new equipment, but we’re not going to do that.
Daniel Moore: I couldn’t agree more. And then you asked the capital allocation question, but cash flow is going to accelerate here with less -- a little bit with lesser CapEx and the balance sheet is already in great shape. So, are you seeing much in the M&A pipeline that gets you excited, and if not, are buybacks an opportunity to maybe ramp up a little bit depending on share prices, et cetera.? Thanks again.
Keith Pratt: Yeah. We stay flexible on all those items. I would say we pay attention to all the choices we have with capital allocation. We’ll continue to monitor all of them. But we’re well-positioned. That’s the important takeaway.
Daniel Moore: Very good.
Operator: Thank you. Ladies and gentlemen, that appears to be our last question. Let me now turn the call back over to Mr. Hanna for any closing remarks.
Joe Hanna: I’d like to thank everyone for joining us on the call today and for your continuing interest in our company. We look forward to speaking with you again in late April to review our first quarter results.
Operator: Thank you. Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation. You may now disconnect.